Operator: Good day ladies and gentlemen and welcome to the U.S. Global Investors Webcast, U.S. Global Investors' Results Announcement for the Fiscal Year 2015. If you have any questions during the webcast, simply enter your question in dialogue box at the bottom of the screen and click submit. Also, you may download a PDF of today's slides by clicking on the Resources tab in the top area of your screen. To switch back to the presentation, just click the Slide tab. We would now like to begin by introducing Susan Filyk, Investor Relations at U.S. Global Investors. Ms. Filyk?
Susan Filyk: Thank you and good morning. Welcome everyone to our webcast announcing results for the fiscal year ended June 30, 2015. The presenters for today's program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Susan McGee, President and General Counsel; and Lisa Callicotte, Chief Financial Officer. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast, that don’t pertain to historical facts, are subject to risk and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-K filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today and U.S. Global Investors accepts no obligation to update them in the future. If you have a question for us, you can submit it at any time during the webcast. Simply type your question in the dialogue box at the bottom of the screen and click Submit. If we aren’t able to answer your question during the live presentation, we will follow-up with you individually. Now let's go to Frank Holmes, CEO and CIO for an overview of this period. Frank?
Frank Holmes: Thank you, Susan. Good morning, everyone. I know it’s a challenging time. Its one of the biggest losses I’ve ever experienced, and I think -- I’m going to try to explain through this presentation today that we’re in asset classes that’s been in decline not since -- not only since 2011, at the peak of [indiscernible] 1900, but all commodities in emerging markets have been challenged since that time period and that’s been predominantly our asset classes. And the other factor from a short period of time we’ve seen these commodities also decline this year. We’ve published and written about this many times trying to explain the correlations with the PMI, Purchasing Manufacturers Index and the significance of policies both in China and in other countries in the world of what’s driving this secular mass of correction in the resource cycle, which impacts emerging markets and we’re directly related because of our emerging market product line up and our resource funds. I think further to add to that is the repressed interest rates, the low interest rates we’ve had to remove a big part of assets we’ve always had in previous downturns where money market funds which kept assets in our complex at lower fees, but we always had a bigger asset set of funds. And since we had to get rid of those, because they were costing millions of dollars a year and we’ve commented in previous presentations up to over $3 billion which costs the industry to maintain the $1 NAV, and a big part of that is just the cost structure and the regulatory creep that’s taking place is just very expensive maintaining money fund. So getting rid of those in a unique partnership with U.S Bancorp does change the composition of our overall assets and makes it look I think more challenged because of the sheer number of assets we own, whereas previously we had as I mentioned always a substantial money market fund business, but we can’t keep that and we’ve said because it’s just unprofitable. So we’re trying to be as we’ve always said that we’re a unique innovative investment management company. We are founded as an investment club, the Company became registered investment adviser in 1968 and has a longstanding history of global investing and launched the first ever kind of investment products for gold as the first-no load gold fund. We are a go-to stock for exposure in emerging markets and resources, and as those categories have taken on [indiscernible], so we felt the difficulties. Our business model is very simple. If we’ve funds in those asset classes and those asset classes are down for a combination of weaker currencies and lower economic growth, they do impact our funds. It doesn’t matter if our funds are in the top decile of their respective groups. They’re all gone down and that impacts our revenue line and our margin line. So we’re busy right sizing our business model. It’s a deal with the sort of lower asset level in these categories. But the positive parts in this -- these challenges, these headwinds, is that we’re debt free and strong balance sheet and we do have a reflexive cost structure and we will be announcing a series of rightsizing this quarter to basically reposition the company going forward as we focus on certain funds that we believe are so important as a mutual fund, but we do believe that the growth is in ETFs and separate account business. So that’s what we will be focused on the future. But in that process, we’ve maintained a monthly dividend, and return on equity discipline is becoming challenged because the assets decline faster than we’ve been able to increase that revenue. But something that we’re definitely so focused on in the classic which as I’ve -- try to go through in this presentation is the volatility of the currencies. If we compare Canada and the U.S., Canada and U.S are the biggest trading partners of the Americas Canada. Interest rates are almost the same. Same political party, that is common law along with sort of a Democratic and Republican party once Conservative Parties going through election cycle, Liberal Party, and it’s a dominant election scene. We’ve the Republicans and Democrats in America, but even though we’ve so many similarities, the largest source of foreign currency for the Canada is oil and gas. So, as oil declines, the Canadian dollar declines. And also when we look around the world, Norway, which has the largest sovereign fund in the world, when you look at almost a trillion dollars for less than six million people, it’s quite significant, but its currencies also declined dramatically with the decline in oil prices, and we’ve seen Australia decline, but it’s predominant because it exports iron ore. So a lot of countries which are dominated by their foreign currencies from exporting a commodity, they’re seeing their currencies decline. So not only has the commodity declined, the country’s currencies declined, and that only exaggerates that the down drop is taking place in the past couple of years in categories outside of the U.S. But nevertheless trying to -- from people to understand what drives this, we’ve some very loyal shareholders as you can see on slide number six, the Financial Investment Management Group out of Michigan, TheRoyceFunds, Vanguard, Sentry, and BlackRock, and we thank all of them for living with us through these challenging periods. Our dividends has consistently paid for seven years and monthly dividends are approved. So I think we’re going to be lowering that monthly payment as we increase our cash so that we can expand and focus on ETFs and we will be announcing next month a series of other product line ups that we’re looking at. We have announced luxury goods and it will be a Smart Beta, everything we will be doing in that category will be Smart Beta. But during this whole process of change, the Board has approved the repurchase up to 2.7 million shares of outstanding common stock. During the fourth quarter of 2015, the Company repurchased 9,000 Class A shares using about $25,000. We use an algorithm to buyback shares only on down days in accordance with all the applicable rules and regulations that restrict the amounts of times of repurchases. This may be suspended or discontinued at any time. What I want to show you in the next visual is the current product lineup. The Mutual Funds are there, and you can see what the different categories are and they’re dominated by emerging markets and resources. So, I think that’s important, but also it’s very important for our investors to recognize that we’ve something very unique and I will comment little later is our tax free, our short-term tax free in particular and that’s a rare, rare breed. Only one of 25 funds have been up from 20 years consecutively in both rising interest rate scenarios. The last time we had was in ‘94 and falling stock market, the massive corrections are to the tech bubble in 2008. This is a particular product that was positive. So I think -- I was looking at it. We have the mutual fund structure of losses to be able to do what we do to deliver this performance. And then what’s exciting is that we launched this past year was our ETF. We launched that in the fourth quarter, and its Jets and we will comment a little bit more about that and I think that that’s an important part interesting enough. Jets do well when energy prices or gold resource funds are challenged with lower oil prices. However, the beneficiary is the global airline industry. So the next visual you see that is a picture of being -- of being on the New York Stock Exchange and you can see Susan McGee, myself and [indiscernible] folks there to celebrating the launch of the product and we had wonderful coverage, the PR market department and Susan Filyk had an outstanding job of creating an awareness of this particular ETF. Other factors that’s really unique regarding this particular product is how successful it’s been in trading and it took only a matter of a month and we had options on this particular ETF. So that’s been a very positive sign. There is no other ETF of this category. So we’re very happy about it. The next visual is on 11. I try to highlight some of these factors for you to think above that what we did is that we launched the first Smart Beta ETF focused on global airlines industry Jets. It is we’re the investment adviser to the U.S Global Jets ETF. We formed a strategic relationship with U.S Bancorp fund services an ETF Series Solutions, and we invested considerable time and effort and resources in launching these products. So we learned a lot. It was a lot of things that we’re intrigued now is where we’re focused and persisting for our next products, what’s necessary to be even more successful in launching products in this space. Later in this presentation I’m going to comment regarding the structural change in fund flows between mutual funds and ETFs and what those benefits are and then I like to go on to the next visual 12 is we continue to develop innovative dynamic ETF products. We are going to do this also in Canada, so we’re working away on that. There was a meeting yesterday on our Smart Beta product for Canada. We’ve 65% ownership of Galileo Equity Advisors, a Canadian asset management company which has a well-known monthly dividend paying a high income with growth fund and it helps us to maintain our focus in being global and we’re earning valuable exposure from our brand in over a 170 countries with publication of our financial commentary and other original content. It’s great to see that we publish a piece on airports and it’s a shocker that within 24 hours which have been 400,000 downloads of slides of the best airports. We’ve done other various articles that seem to go viral very quickly for different publications and that’s part of our overall branding, but at the same time it creates a discipline internally in investment team to be focused on understanding what they’re doing themselves and what -- and how we’re articulating what we’re doing and so it’s a great process for us. Now the key things for U.S Global, I think it’s so important this visual on 13 is streamlining for stability. We just have to -- it’s just been so unstable. We’ve seen nothing since 2008 by an incredible regulatory creep and cost, a substantial cost from every activity that you think off in the mutual fund world from distribution, from creation, unwinding funds, moving funds, whatever you want to do, its a exceedingly expensive the ‘40 Act mutual fund business. But nevertheless we’re doing everything to streamline for this stability and then building during this process I’m very happy to see that we’re building our capabilities in ETFs. We’re continuing to look at acquisitions to fast track the turnaround of U.S Global and just making sure that our brand awareness from our Investor Alert and Frank Talk continues to grow. So three parts that are key for us and we’re not going to let them vanish. Now we look on the next visual, we’ve significantly streamlined our leadership and staff, try to point out in 2013 where those changes have taken place, but in the business leaders because we do no longer have a transfer agency which was very, very people intensive, also lots of regulatory oversight costs of compliance etcetera. That has shrunk by 25% and all the collateral work in necessary for having a big transfer agency we’ve seen the number of staff total drop by 25%. This will drop again -- I think we will see that is we repositioned what we’re focused on the ETFs and on our product line that we will have additional reductions and we really want to have people that have that core competence not only in just the regulatory world, but really embraced technology, technology which will fast track our brand awareness, fast track our ability to select stocks to be competitive in a world which is just dominated by technology. The investment world is dominated. In fact, Goldman Sachs CEO made a statement that they’re not really a financial institution, they’re a technology company. They pay programmers more than they pay their investor people, that they have more programmers and its idea of high frequency trading which captured the imagination of so many people, from 60 minute special etcetera, but its high frequency research. Its ability to swift and sort and create Smart Beta products like we did with Jets, that is where the business is going and what happens at that is that the -- you end up outsourcing a lot of your work to other technology centers and you need very, very clever people that know how to drive those other departments in relationships. And that’s how the investment management world I see is changing and this is part of our significant streamlining in our organization. The next visual is not a pretty one; I don’t like to see it where the assets, the quarterly average assets under management decline. We’ve had to deal with two issues. One is overall the fund performance in categories which are declining and B: a shift that of in resource related -- specific resource related, people would rather go and jump in and trade in ETF. It doesn’t matter that these ETFs, we know they’re so well with the GDX and GDX J. If gold is up, investors are paying a premium that day for those underlying stocks. And if gold is down, they’re paying -- they are getting out at a discount. So with that, we think it’s important for the mutual fund world just be cognizant. It doesn’t really matter. Unless it’s how things are evolving and for ourselves that’s what we have to evolve, but I believe at a much faster pace as we step forward. The next visual is showing you the divergence. We are now trying to help investors here is to understand our challenges and how much is external and how faster we adopted to those external factors. One is the -- this is showing you here on Slide number 16 is the divergence between domestic stocks, gold mining companies and natural resources. After QE one, two, and three in the U.S., we saw QE coming out of the Europe. We saw QE coming out of Japan. At those times, each country, Japan and then Europe, announced such monitory stimulation of negative interest rates, immediately our currencies fell against U.S dollar and the U.S dollar went up, not only added that the S&P would rise too and so with that we see it impacts resources and this is showing you gold, it is showing you the S&P Natural Resource Index, how they decline particular in 2015 second half of 2014, down to now just Global Natural Resources, even U.S dollars they’ve been putting on accelerated decline. The next visual is showing you because we’re so well-known for gold and we highly correlate gross stock price to the direction of gold is gold mining companies have seen a three year decline. And you can see on this visual it does that really matter if we outperform the GDX and GDX Js which we’ve and we’re very happy about that is that these assets are off 60% whereas the index’s are off 75%. And so yes, we’re doing better, but when you’re on 60% and you have a $1 billion that’s $600, million or $6 billion dollars of loss revenue. That is what we’ve been experiencing and you just can’t go 100% cash, even though at times we’ve big cash positions, because the mandate of the prospectors is to be invested and gold investments and so we do use an active process at times of raising cash, but it -- it’s a real challenge when the overall category is declining. Then we see in the next visual is trying to highlight what’s happened for -- what was a billion dollar fund. It’s the emerging market European fund and you can see here what’s happened in Russia and Turkey and what’s interesting is that the fund has done great against these, but incredible events have taken place in Russia. On the past 18 months we’ve had the Russia invade Ukraine and then the U.S have sanctions against the [indiscernible] and Russia and then the price of oil fall, and so we’ve had to get in and get out and be able to trade around the dynamics of oil, the Russia ruble which you can’t hedge and so its been incredibly volatile external factors. And what we’ve seen here in Turkey is that Turkey has declined, but its interesting currency if you hedge the currency which we’re doing now in our emerging Europe fund. You cannot hedge the Russian ruble, the Chinese renminbi and the Indian rupee. Big, big countries for us, important to be able to hedge that volatility, but we have in Turkey, and what we found is that in the past five years Turkey is positive hedge to hedge the currency. It’s a very robust diversified economy, high returns on invested capital, but it basically a structurally weak currency and that bottom line actually your fund performance, your assets, which we get a management fee on, so it impacts us. The next visuals to show you global resources. And you can see that the fund was doing reasonably well against this index, but this index has to beat it’s a new index and for the first time ever we had this incredible external force happening upon us, the index that the firm had to beat was cancelled. It’s never happened before, novel event for the regulatory world, so we had to go by one month at a time over 12 month period. It rotate from one index to another and that’s what we did as we rotated now since this index is in 12 months in place the fund performances improved and trying to beat and I give this example its like a moving goal post. The goal post keep moving around, how does someone score. Now we know exactly what the goal post are, the width of them and our disciplines and we are outperforming the SPDR global natural resource ETF and that’s just important in getting that performance right sized also. So what happens is emerging markets or particular commodities, I’m trying to understand them. There is two factors that drive it. I always comment about PMI on slide number 21. I comment, because it’s so significant. It’s absolutely profound in understanding resources. PMI is the future. GDP is the past. The PMI as a reflection of what manufacturers are saying they’re going to order, how much metal they’re going to have to order to manufacture a toaster, to manufacture a car, whatever they’re manufacturing they place their orders six months in advance and when they go to manufacturer product, they consume a lot of energy to be able to -- to that whole idea of manufacturing consumes usually a lot of electricity and it comes from either coal or oil, natural gas or nuclear. And so what we’re showing here is that the PMI is from China at the very peak as you can see in the visual we had a crash and then we had a big rally to 2011 and it’s been nothing but declining out in China. That means that China is basically a slowing down in their manufacturing sector and during that time period of this decline the renminbi has been weak, has been accelerating in valuation and just recently it started to decline. But that manufacturing sector is so important to deal with natural resources and when we look at the global PMI which dropped in July oil felt $4 that day, $4. Copper immediately started decline, iron ore declined, so its important right now for investors to recognize that the global PMI that is of Europe, Japan, China, India, etcetera, its negative and as well as that’s negative, it makes a difficult point for seeing that turn. The thought process is by November that we will get a turn in these PMI numbers. The other part of research we’ve always commented on is following money supply, global money supply and we bifurcate the world from the G7 countries that the E7 countries and the E7 country money supply is much more significant, because that’s where the bulk of the world’s population is. The G7 countries are 10% of world’s population. The E7 is certainly most populated countries are 50% of world’s population. So money supply growth since 2013 in the E7 countries has been falling. And that’s highly correlated with commodity demand whereas in the G7 countries with quantitative easing models out of Europe and Japan and the U.S, we’ve seen money supply rising nothing compared with the decline in the emerging countries. So this is a headwind that’s expected to be able -- that will decline over the next three -- that will probably get a trough here in the next three to six months. And during that period, we will focus on the restructuring of right sizing of U.S Global. 22 is just another factor of looking at global PMI. If you’re not a subscriber, go to Frank Talk and you will better understand what we’ve been commenting on and written -- writing about for long time. Our asset classes, as you can see here they breakdown. We still have a very strong loyal direct investors in our complex compared to our peers. And we thank all those investors quite often the other subscribers to investor alert and they maintain this relationship. Our balance sheet, Lisa Callicotte can talk more about it, which you can see overall we still have a very strong assets and cash position. We did reposition some of our cash to get a higher yield, but overall it’s been a modest decline as you rustled with the claim in resources. We’ve also have investments in our funds and they’ve declined. But the best part as we have a bulk of our money in our short-term, near-term tax free and it’s done exceptionally well. Slide 25, shows you the inverse from back in March of 2011, as you can see the decline in earnings and we’re just doing everything we can to fast track the process of right sizing U.S Global. On 26, is a visual that we always like to compare to ourselves, to our peers and as you can see having such a line of assets, a product line up that’s really with no money market funds to balance ourselves, its extremely volatile in the emerging market and commodity based cycle. So our overall returns on capital, it makes it very unattractive for the growth investor, the value investor and the income investor as still compared to our peers the yields are higher and that’s something that we will do everything possible and as fast as possible in right sizing. We like to compare ourselves to show how we compare to resources and we -- and other asset classes you can see we do track with the gold miners ETF in the 12 month period that we outperformed the gold equities. That’s always been the case. However, for the past three months going into June 30, we underperformed. This is unusual, but I guess it’s simple to figure out that the bearishness of the cycle and the trepidation of rising interest rates create the uncertainty and gold declined. The fund performance is another disclaimer for the presentation we’ve to make sure we put in our slides, because we talked about our funds and now I’d like to turn it over to Lisa Callicotte, our CFO, to give you an update on the income statement and then any financial analysis and we look forward to listening your questions later. Lisa?
Lisa Callicotte: Thank you, Frank. Good morning. Now I’ll summarize our results of operations for fiscal year ended June 30, 2015. Beginning on Page 31, we recorded total operating revenues of $9.4 million for the year. This is down 18% from a $11.4 million we reported last year. It’s primarily due to the lower asset understand management related to shareholder redemptions and market depreciation mainly in our natural resources and international adverse [ph] factors that Frank discussed. Moving on to page 32, operating expenses for the year were $13 million, a decrease of $1.9 million or 13%, due to the following reasons. Employee compensation and benefits decreased $916,000 or 13%, as a result of fewer employees and lower performance based bonuses. General and administrative expenses decreased $986,000, a 19% and G&A decreased due to higher cost in the prior year due to strategic fund changes as well as cost cutting measures in the current year. Performance fees actually increased $153,000 or 8%, and this was due to consolidating Galileo for the entire fiscal year and only one month in the previous year based on when we obtain controlling interest in Galileo. The increase was somewhat offset by decreases in platform fees due to lower asset held through broker dealer platforms. Advertising decreased $204,000 or 33%, as a result a decreased sales and marketing cost. On page 33, we see that our operating loss for fiscal year 2015 is $3.6 million, this is slightly offset by our other income, which is our income related to our investments. Our other income was $434,000 in fiscal year 2015, and this was a decrease from prior year $1.7 million, because in prior year we had really high gains related to our -- the sales of our available for sale securities, unrealized gains on trading securities and gains recognized in conjunction with the acquisition of Galileo. During fiscal year 2014, the company decided to exit the transfer agency business in order to focus more on our core strength in investment management. The transfer agency results are reflected in discontinued operations and total net loss after taxes on discontinued operations for fiscal year ending June 30, 2014 was $243,000 and there were no transfer agency operations in fiscal year 2015. Net loss attributable to USGI after taxes for the year is $4 million or $0.26 per share. Included in our net loss is a non-cash tax entries to record valuation allowance on our deferred tax assets of $1.9 million or $0.12 per share. Moving on to page 36, we see we still have a very strong balance sheet and it includes a high level of cash and marketable securities that combine to make a 76% of our total assets and we’re just hoping that weathers through this storm. As you can see on page 37, we still have no long-term debt and the company has a net working capital of $19.8 million and a current ratio of 13.1 to 1. With that, I’d like to turn it over to Susan.
Susan McGee: Thank you, Lisa. During the past quarter, our sales and marketing efforts have focused on our new product the U.S. Global Jet ETF and also our long standing top performing fund, the Near-Term Tax-Free Fund. We began the strategic process of expanding our product line about two years ago. We’ve seen the ETF just growing tremendously in the past few years and we recognize that our company needed to evolve with this trend. Our ETF are increasingly the preferred investment vehicle for retail investors and their financial advisors as well as institutional investors. You can see how ETF asset growth is outpacing long-term mutual funds for both third party and retail channels. As Frank discussed earlier on April 30, we launched our first ETF, the U.S. Global Jet ETF with the ticker symbol JETS on the New York stock exchange and JETS utilizes a smart data index strategy that focuses on the global airline industry. We recognize that the airline industries significant restructurings in the past few years had contributed to that industries financial success and we believe are prospects for future growth. Yet there was no ETF to meet investor demand in the sector. JETS so far has received extensive media coverage, our assets had grown to more than $44 million and the trading volume of the ETF is very robust. As many of you know ETF have a very different landscape in mutual funds from operations to marketing to distribution, we invested significant time and resources in building our intellectual capital. We selected service providers, product partners. We tested investment models. We developed marketing plans. And this experience that we gained throughout this process positions us very well for future ETF launches that we have planned. As investors experience the pains of the volatile equity market and also the apprehension over the potential interest rate increases, our near-term tax refund has provided investors a very calming solution with its consistent positive performance in tax free income. And as Frank mentioned earlier, out of 25,000 equity and bond mutual funds only 30 have had consecutive positive annual returns for the past 20 years and we’re very proud that our near-term tax refund is one of the few. Since 2000 our funds have received 29 Lipper performance awards, certificates and top rankings and most recently the near-term tax refund has earned the Morningstar five-star rating for overall performance and the Municipal National Short-Term Funds category. Our Gold and Precious Metal Fund has earned a four star rating in the Equity Precious Metal Funds category. We’re also pleased that two of our funds hold the top Lipper leader rating, and this rating is based on investor-centered criteria and on the scale of one to five, Lipper leader funds that rated five are in the top 20% of their category. The near-term tax refund and the U.S. Government Securities Ultra-Short Bond Fund that’s rate at five [ph] for preservation. The company and our funds continue to receive an invaluable amount of barrel publicity that’s gained media interviews and the sharing, syndication of our award winning content by third party sources and this barrel publicity helps us leverage our brand by reaching millions of readers, viewers and potential investors. We interact frequently with loyal followers through email, Facebook, Twitter and LinkedIn. Kitco News is the biggest gold Web site in the world with an audience of 10 million monthly visitors and it features the Gold Gain Film show with Frank Holmes weekly gold market analysis. In July Kitco teamed up with the Street and that broadened the shows exposure and viewership. Since we began filming the show in 2014, 71 video episodes of Gold Gain Film has aired today. In addition to that, many influential financial newsletter writers have recommended our funds to their shareholders and their subscribers. U.S. Global Investors is well known for timely and balanced market insights and thought leadership and we have earned recognition as an industry leader in investor education. We received 64 awards since 2007, investors can sign up for the award winning Investor Alert and Advisor Alert in E-Newsletters are subscribe to our CEO Blog, Frank Talk, at usfunds.com. And now, I’d like to turn it back over to Frank who’ll discuss with you some more about what we’re seeing in the market. Frank.
Frank Holmes: Thank you Susan and thank you Lisa. I’m going to speak quickly to go through these presentations I’d highly recommend if you’re not a subscriber go to usfunds.com and subscribe to Frank Talk and Investor Alert. You can get more content, written content on these visuals. On slide number 59, the U.S. dollar up 20% since July 14. I think what's important for investors, you can see that -- is that, the inverse of this. So the dollars up means other countries currencies are down and this adds to the difficulty for so many of these a performance in emerging markets resources, currency volatility is significant in generating or harming the creation of alpha. Another visual is on 60, trying to go through this education which Susan commented earlier, we’ve received many awards for education in a very competitive arena and so one of the -- is what we do with Investor Alert which is an award winning information medium for investors and its our visuals that are also very important in trying to take complexity and simplify it. So the inverse relationship within the U.S. dollar and commodities, as you can see in this visual is very simple, significant, profound, and its just what it is and its how fast we’re adapting, adjusting to it. Do we think it’s going to end; forever the dollar is always going to be strong. No, we don’t believe so. We believe that we have demographics [indiscernible] people having babies everyday and now the world is so wired and hooked up. It’s just remarkable how young the iPad is and how young mobile phones are and applications. I mean they’re just; they’re infants in the lifecycle. And great history shows that, at the turn of the 1900, they thought cars would take 30 years before they would dominate the roads from horses and buggy and it took 13 years, not 50 years. Everything happens faster, and now with technology what people are estimating will take 10 years happens in two years. So I think there will be another cycle in demand for resources, but I think its going to be different. I don’t think that man is going to be huge for coal to the degree even though I recently wrote about coal is finding a bottom here. I think met coal will turn and I think that other sources of energy are going to take place. In solar we’ve seen, but natural gas will continue to be strong and I think that you’ll see oil prices this time next year back to the $60 level, but during this period, we still have to adapt and adjust to these commodity cycle. I’d point out that gold remains attractive in emerging markets. So what I’m trying to point out on the next visual is that gold in Russian terms, in Russian Ruble terms for Russians it’s had a huge run. Same thing for Europeans, same thing for Japanese Yen, but for Americans no, and we wrote a piece last year that said, gold was the second best performer in currency. The number one currency was the U.S. dollar, number two was actually gold. So gold is money and it is reflected by the Federal Reserve as a form of money. So I think it’s important that the Federal Reserve keeps gold, they don’t keep other countries currencies as an asset class. I think that’s just prudent for investors to maintain a 10% waiting in gold overall, I’ll always advocate a 5% into bullion or gold jewelry, high end gold jewelry and 5% into gold equities and active managers like own funds but rebalance each year to capture volatility, and I guess its like a portfolio insurance. The next one shows you the visual we recently wrote a piece on, the strong dollar hurts the s&p 500. There have been many announcements this past six months from Tiffany's, Macy's, Wal-Mart, Ford, Yum, J&J, P&G on the strong dollars impacting their ability to profit from products being sold around the world. And two, its impacting for the idea that, when you look at industrial production of, we see as Americans we produce very high end products, x-ray machines, motors. But with the strong dollar, that export cycles dropped and it shows up in the economic data industrial production which peaked over nine months ago. So a strong dollar does impact our ability to export and right now, Europe’s PMIs have turned positive, and there weaker currency the dollar, they make high quality products and so you’re seeing your [indiscernible] exports picking up versus the dollar -- U.S. slowing down. The next visual is showing you numbers on page 63, the strong U.S. dollar negatively affected S&P companies earnings of revenue growth, I’ve written about it and Frank Talk recently but this is just a visual to give you an idea that its impacted U.S. Global because in the asset management and its impacted the overall S&P, and in particular so is the drop in oil prices. If energy stocks of the S&P 500 8% of that index and the price of oil falls 40% then you have to see 3% of the revenue come off the S&P 500 and that’s what took place. So there is some type of linear math here of the commodities driving different sectors of the overall economy. And what's important though in America is in 1980, energy was 20%, in fact basically if we chose the energy we’re over 30% of the S&P 500, and today as you can see energy is less than 8%. So, we have a much broader diversified economy. The next visual is showing you China’s demand for commodities is huge. It’s massive when you take a look at it, but what happens when they slowdown? And that’s what we witnessed and that has a much more significant impact on resources and in particular countries which are exporting commodities, Chile, Peru, Canada, Norway, Africa, many of the nations of Africa, Russia. Russia gets all their foreign currency and their Ruble is falling even more than the Canadian dollar and that has to do with, that their only source of foreign currencies is exporting oil and gas. So what we show in the next visual is that, recently China has devalued their currency in trying to realign it, and I’m going to try to show you here in this visual that since 2011 where the peak in commodities took place, the renminbi was rising, and that really impacted their manufacturing sector to be competitive and not so much or against U.S. but its also, South East China and India and Africa it has to compete as a manufacturing center and against Mexico. The next visual is showing you Chinese stock market had a big run, a massive correction, and they’re wrestling with, it was the best way to manage this. They have just come out with several policies for stimulation. But there is such a fear of crackdown against corruption that many of their political leaders, the bureaucrats at various executive levels will not go ahead to execute on this announced infrastructure projects because of fear that if something goes wrong that they get thrown in jail. So it stumbles with this. The government has recognized it; they’ve made comments on it that they expect in the fourth quarter better traction. And for us, we’ll follow the PMIs and we believe that when they turn, will be a reflection of the turn the China. And we’ve published on what that means to commodity prices before. Transferring to China, what's important for investors to recognize, they are trying to transfer their economy. They’re trying to make sure that, they’re not just relying on exports and cheap currencies, they go to the future. They’re going much more to services and what this visual is showing us in 67 is, is China’s economy is going through a shift, and that big stock market boom that took place until May of this year was a lot had to do with the new economy in China, and I think that’s as important, it’s very technologically driven, it’s very service driven, and it’s going through this consumption pattern change. So, investors would just all have to recognize it. So, if you’re reading U.S. Global Investors, it’s great because so is Jim Cramer and other hedge funds and newsletter writers and publishers around the world. I want to thank everyone. Open up to questions so that we maintain our timeline, we’ve been going on for 47 minutes. Any Q&A Susan?
Q - Susan Filyk: Thank you, Frank. Now we’ll take some questions. [Operator Instructions] Do have a first question for Frank. Could you talk about in a little more detail your approach to brands for future ETF?
Frank Holmes: Well, i'ts regarding being unique. It’s a crowded space in some of the categories. We’re late at getting out to this game, and it is -- and that’s reality. So coming out with JETS, there was no other product there. We believe in luxury goods. We’ve announced that, that’s public. Next quarter, we’ll announce [indiscernible] other lineups, which we think our research capability will add value. Luxury goods is very highly correlated discretionary spending, and it’s highly related to gold jewelry, the love [ph] trade. So we are -- we feel that we have a real understanding of that category and using our smart beta tools that we’ll be able to deliver a very special product rather than just an index based on market cap. So that’s what we’re working on. But right now, it’s just to right size our ship, all hands on deck of streamlining, and what investors are to recognize, it’s just more costly to streamline funds to emerge a fund or to move funds to money market funds which we do to the Bank Corp, then it’s the set up of fund. That regulatory cost and timeline is a lot longer, much more than I ever thought when I first bought U.S. -- I knew when I first bought U.S. Global. So, it’s just this frustration that I have of how fast can we move to reposition the company. But we are in the direction and we’ll have lots of disclosure on that as we right size in the next two months.
Susan Filyk: Thank you. I have another question for you Frank; you’ve talked about the dramatic impact of commodities on assets. What are you looking for as indicators of when commodities will hit a bottom, and how are you positioned to rebound when that happens?
Frank Holmes: Well there’s two factors to that and we always comment that, government policies are precursor to change. It’s recognizing government policies and we’ve said that they bifurcate due to [indiscernible] fiscal, and fiscal is the most important part for infrastructure spending, which is it puts a big demand on commodities. Since 2008, the G20 countries get together and much more talk is on synchronized global taxation and regulation. That is not a great precursor for big commodity demand. Prior to 2008, they would meet together and it was all about global trade, streamlining terms and regulations, creating the battles were about countries not being competitive for transparency and pricing et cetera, very different mindset than what we have today. So when we see policy changes where people really become fiscal orientated to drop taxes, to streamline regulations, and unleash capital, I think that that would be a tipping point from a big macro sector theme. Shorter term, I think it’s PMIs, the look for that change in global PMIs that global synchronized growth is onside. The magic number is to have it above 50, and the momentum always starts when the one month is above the three months, is a constructive positive sign that demand for commodities is picking up. So I think there is significant factors that were, I’ll be looking for.
Susan Filyk: Thank you. That concludes our questions for today. So we will conclude our webcast for the fiscal year 2015. This presentation will be available for replay on our Web site at usfunds.com. Thank you all for joining us today.
Frank Holmes: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. That does conclude today's program. You may all disconnect. Have a great day everyone.